Operator: Good day, and welcome to the Ever-Glory International Group Fourth Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Wilson Bow. Please go ahead, sir.
Wilson Bow: Thank you, operator. Hello, everyone and welcome to Ever-Glory International Group's fourth quarter 2020 earnings conference call. The company distributed its earnings press release earlier today via Newswire Services. You can also download it from Ever-Glory’s website at www.everglorygroup.com, in one word. With us today is Ever-Glory’s, Chief Financial Officer, Mr. Jiansong Wang; Mr. Yihua Kang, Ever-Glory’s Chairman, President and Chief Executive Officer is on a business trip today and unable to join the call. So Mr. Wang will read the prepared remarks on behalf of Mr. Kang.
Jiansong Wang: Thank you, Wilson. Good morning to those in the U.S. and good evening to those participants in Asia. Thank you for joining our fourth quarter 2020 earnings conference call. We are very pleased to announce the 2020 fourth quarter results with 2.7% year-over-year increase in gross profit. Notably, we achieved a year-over-year improvement in gross profit of 28.1% for our retail business. This increase was primarily due to increase in same store sales, On retail side, our brands continue to attract new customers and retain existing customers by focusing on design, quality, and value. Our inventory management strategy continually improved the balance between inventory turnover and our diligent cost control measures further strengthening the profitability of our business in order to create more visible and accessible locations. We have re-modeled and relocated total 54 stores during 2020. As of December 31, 2020, we operated a nationwide network of 936 stores compared with 1,101 retail stores, as of December 31, 2019. During 2020, we co-operated with  proposal of La Go Go, the effect of the feasibility has our broad interest.  While we still see strengthening demand for our products at our retail stores, we continue to see opportunities in the e-commerce areas. Mobile platforms, such as our La Go Go stores on Tmall and the Dangdang.com are used as a strategic and effective way for us to drive customer engagement. Encourage cross-channel shopping, reduce out-of-season inventory and create a unique and differentiated customer experience to grow our loyal customer base.
Wilson Bow: Thank you, operator.
Operator: Thank you, sir. This concludes today's call. Thank you for your participation. You may now disconnect.
Jiansong Wang: Thank you. See you next time. Good bye.
End of Q&A: